Operator: Good afternoon, and welcome to the Monster Beverage Corporation First Quarter 2023 Financial Results Conference Call. All participants will be in a listen-only mode. [Operator Instructions] After today’s presentation, there will be an opportunity to ask questions. Please also note, today's event is being recorded. At this time, I'd like to turn the floor over to Mr. Rodney Sacks and Hilton Schlosberg, Co-CEOs of Monster Beverage. Please go ahead.
Rodney Sacks: Thank you very much. Good afternoon, ladies and gentlemen. Thank you for attending this call. I'm Rodney Sacks. Hilton Schlosberg, our Vice Chairman and Co-Chief Executive Officer, is on the call; as is Tom Kelly, our Chief Financial Officer. Tom Kelly will now read our cautionary statement.
Tom Kelly: Before we begin, I would like to remind listeners that certain statements made during this call may constitute forward-looking statements within the meaning of Section 27A of the Securities Act of 1933 as amended and Section 21E of the Securities Exchange Act of 1934 as amended, and are based on currently available information regarding the expectations of management with respect to revenues, profitability, future business, future events, financial performance and trends. Management cautions that these statements are based on our current knowledge and expectations and are subject to certain risks and uncertainties, many of which are outside the control of the company that may cause actual results to differ materially from the forward-looking statements made during this call. Please refer to our filings with the Securities and Exchange Commission, including our most recent annual report on Form 10-K filed on March 1, 2023, including the sections contained therein entitled Risk Factors and Forward-Looking Statements, for a discussion on specific risk and uncertainties that may affect our performance. The company assumes no obligations to update any forward-looking statements, whether as a result of new information, future events or otherwise. I would now like to hand the call over to Rodney Sacks.
Rodney Sacks: Thank you, Tom. The company achieved record first quarter net sales of 1.7 billion in the 2023 first quarter, 11.9% higher than net sales of 1.52 billion in the 2022 comparable period, and 15.3% higher on a foreign currency adjusted basis. Gross profit as a percentage of net sales for the 2023 first quarter was 52.8% compared with 51.1% in the comparative 2022 first quarter. The increase in gross profit as a percentage of net sales for the 2023 first quarter as compared to the 2022 first quarter was primarily the result of pricing actions, decreased freight in costs, and decreased aluminum can costs. Gross profit as a percentage of net sales increased on a sequential quarterly basis to 52.8% in the 2023 first quarter, from 51.8% in the 2022 fourth quarter, and 51.3% in the 2022 third quarter. Gross profit as a percentage of net sales, excluding gross profit for the company's alcohol brands segment increased on a sequential quarterly basis to 53.6% in the 2023 first quarter, from 52.5% in the 2022 fourth quarter, and 51.9% in the 2022 third quarter. The depletion of our remaining higher cost imported can inventories will continue over the next few quarters but should be fully utilized during 2023. Operating expenses for the 2023 first quarter were 412.8 million, compared to 377.2 million in the 2022 first quarter. As a percentage of net sales, operating expenses for the 2023 first quarter, were 24.3% compared with 24.8% in the 2022 first quarter. Distribution expenses for the 2023 first quarter decreased to 76.3 million or 4.5% of net sales, compared to 81.4 million or 5.4% of net sales in the 2022 first quarter. The 5.1 million decrease in distribution expenses was primarily due to decreased freight out expenses of 15.7 million partially offset by higher warehouse expenses of 9.9 million as a result of higher raw materials and finished product inventories in the United States and EMEA. The increase in other operating expenses was primarily due to increased payroll expenses. We're now purchasing aluminum cans from local sources globally. We have rebuilt finished product inventory levels globally to return to our Orbitz strategy of producing in closer proximity to our customers. The cost of repositioning finished products to distribution centers are included in freight-in costs. The company continues to address the challenges in its supply chain as it navigates through the uncertainty of the current global supply chain environment. Operating income for the 2023 first quarter increased 21.4% to 485.1 million from 399.5 million in the 2022 comparative quarter. The effective tax rate for the 2023 first quarter was 20.1% compared with 25% in the 2022 first quarter. The decrease in the effective tax rate was primarily attributable to the increase in the stock compensation deduction in the 2023 first quarter. Net income increased 35.1% to 397.4 million as compared to 294.2 million in the 2022 comparable quarter. Diluted earnings per share for the 2023 first quarter increased 36.6% to $0.38 from $0.27 in the first quarter of 2022. Due to continued cost pressures, the company implemented pricing actions in the United States in 2022, as well as in many other international markets in 2022, and in the first quarter of 2023. The company plans to implement additional price increases in a number of other international markets during the remainder of the 2023 year. In the United States, the company implemented an additional price increase on its 18.6 ounce and 24-ounce lines, effective April 1, 2023. We will continue to review further opportunities for pricing actions in order to mitigate inflationary pressures. According to the Nielsen report, for the 13 weeks through April 22, 2023 all outlets combined, namely convenience, grocery, drug, mass merchandisers, sales in dollars in the energy drink category, including Energy Shots increased by 12.7% versus the same period a year ago. It's also the company's energy brands including Reign were up 10.5% in the 13-week period, sales of monster were up 9.5%, sales of Reign were up 24.1%, sales of NOS increased 14.1% and sales of Full Throttle increased 5.5%. Sales of Red Bull increased 10.6%, sales of Rockstar increased by 3.7%, and sales of 5-Hour decreased 4.1%. VPX Bang sales decreased 55.5%. The company continues to have market share leadership in the energy drink category all outlets combined in the United States in both a 13 week and 4-week periods ended April 22, 2023. According to Nielsen for the four weeks ended April 22, 2023, sales in dollars in the energy drink category in the convenience and gas channel, including energy shops in dollars increased 12.7%, over the same period of previous year. Sales of the company's energy brands, which include Reign, increased 11% in the four-week period in the convenience and gas channel. Sales of Monster increased by 9.3% over the same period versus the previous year. Reign sales increased 37.8%, NOS was up 8.8% and Full Throttle was up 11.7%. Sales of Red Bull were up 9.8%, Rockstar was up 5.4% and 5-Hourwas down 5.8%. VPX Bang sales decreased 59.5%. According to Nielsen for the four weeks ended April 22, 2023, the company's market share of the energy drink category in the convenience and gas channel, including energy shots in dollars decreased from 37.5% to 36.9%. Once the share decreased from 31.6% a year ago to 30.6%, Reign share increased a half a share point to 2.9%, NOS share remained at 2.6 and Full Throttle share remind 0.7 of a percent. Red Bull share decreased 0.9 points from 35.2% a year ago to 34.3%. The VPX Bang share decreased 4.2 points to 2.4%, 5-Hour share was lower by [5.7] [ph] points, -- at 3.7%, Rockstar share was down point to 2 of a point to 3.4% CELSIUS share is 5.4%, C4 share is 2.8% and Ghost share is 2.9%. According to Nielsen for the four weeks ended April 22, 2023 sales in dollars of the coffee plus energy drink category, which includes our Java Monster line in the convenience and gas channel increased 0.8 of a percent over the same period the previous year. To other Java Monster including Java Monster 300 and Java Monster Nitro Cold Brew was 0.6% higher the same period versus the previous year. Sales of Starbucks energy were 4.7% higher. Java Monster share of the coffee plus energy drink category for the four weeks ended April 22, 2023 was 55.1% down point one of a point while Starbucks energy share was 44.5% at 1.6 points. According to Nielsen, in all major channels in Canada for the 12 weeks ended March 25, 2023, the energy drink category increased 14.7% in dollars. Sales of the company's energy drink brands increased 19.5% versus a year ago. The market share of the company's energy drink brand was 43.1% up 1.7 points. Monster’s sales increased 19.7% and its marketing increased 1.6 points to 38.6. NOS sales increased 4.2% and its market share decreased by point one of a point to 1.3%. Full Throttle sales decreased 8.4% and its market share decreased point one of a point to 0.4%. According to Nielsen for all outlets combined in Mexico, the energy drink category increased 17.8% for the month of March 2023. Monster’s sales increased 24.8%. Monsters’ market share in value increased 1.7 points to 30% against the comparable period the previous year. Sales of Predator increased 71.3% and its market share increased 1.7 share points to 5.4%. The Nielsen statistics from Mexico cover single month, which is a short period that may often be materially influenced positively and/or negatively by sales in the OXXO convenience chain which dominates the market. Sales in the OXXO convenience chain in turn, can be materially influenced by promotions that may be undertaken in that chain by one or more energy drink brands during a particular month. Consequently, such activities could have a significant impact on the monthly Nielsen statistics for Mexico. According to Nielsen for the month of March 2023 compared to March 2022, Monster's retail market sharing value increased in Argentina to 53.5% and in Chile from 36.4% to 42.7%. In Brazil for the month end March 2023, our share increased from 42.1% to 43.9%. Monster Energy is the leading energy brand in value in Argentina, Brazil and Chile. I'd like to point out that the Nielsen numbers in EMEA should only be used as a guide because the channels read by Nielsen in EMEA vary from country-to-country and are reported on varying dates within the month referred to from country-to-country. According to Nielsen, in the 13th week period until the end of March 2023, once this retail market share in value is compared to the same period the previous year, grew from 14.8% to 15.8% in Belgium, from 18.3% to 20.9%, in the Czech Republic, from 32.4% to 33.4%, in France, from 15% to 16.6% in Germany, from 29.3% to 30.9%, in Great Britain, or 28.2% to 30.4% Italy, from 29.7% to 34.6% in Norway, from 27.9% to 28.7% in the Republic of Ireland, from 38.2% to 39.9% in Spain, and from 15.9% or 18.1% in Sweden. Monster's retail market sharing value as compared to the same period the previous year declined from 7.8% to 4.7% in the Netherlands, from 21.2% to 19.2% in Poland, and from 20.1% to 19% in South Africa, According to Nielsen in a 13-week period until the end of February 2023, Monster's retail market share in value as compared to the same period the previous year increased from 27% to 27.7% in Denmark, once these retail market share in value as compared to the same period the previous year, declined from 38.3% to 36.5% in Greece. According to Nielsen in the 13-week period until the end of February 2023, [indiscernible] retail market share in value as compared to the same period the previous year grew from 23% to 31% in Kenya, and from 14.7% to 19.5% in Nigeria. According to IRI in Australia, Monster's market share in value for the four weeks ending April 9, 2023, increased from 13.5% to 16.6%, as compared to the same period the previous year. Mother's market share in value increased from 10.3% to 10.7%. According to IRI in New Zealand, Monster's market share in value for the four weeks ended April 16, 2023, increased from 12.9% to 14.6% compared to the same period the previous year. Live+'s market share in value increased from 6.1% to 6.2% and Mother's market share in value decreased from 5.7% to 5.1%. According to INTAGE in Japan, in the month ending March 2023, Monster's market share in value in the convenience store channel is compared to the same period the previous year grew from 52.5% to 52.7%. According to Nielsen in South Korea, in the month of ending March 2023, Monster's market share in value in all outlets combined, as compared to the same period the previous year, decreased from 59.4% to 56.8%. We again point out months, certain market statistics that cover single months or four-week periods may often be materially influenced positively and/or negatively by promotions or other trading factors during those periods. Net sales to customers outside the U.S. was $622.9 million, 36.7% of total net sales in the 2023 first quarter, compared to 553.4 million or 36.4% of total net sales in the corresponding quarter in 2022. Foreign currency exchange rates had a negative impact on net sales in U.S. dollars, by approximately $52 million in the 2023 first quarter, included in reported geographic sales, or our sales to the company's military customers, which are delivered in the U.S. and transshipped to the military and their customers overseas. In EMEA, net sales in the 2023 first quarter, increased 5.7% in dollars, and increased 14.8% in local currencies over the same period in 2022. Gross profit in this region as a percentage of net sales for the first quarter was 30.7% compared to 29.6% in the same quarter in 2022. We are also pleased that in the 2023 first quarter, Monster gained market share in Belgium, Czech Republic, Denmark, France, Germany, Great Britain, Italy, Norway, Republic of Ireland, Spain and Sweden. In Asia Pacific, net sales in the 2023 first quarter increased 11.6% in dollars and increased 22.8% in local currencies over the same period in 2022. Gross profit in this region as a percentage of net sales was 44.4% versus 40.9% over the same period in 2022. Net sales in Japan in the 2023 first quarter decreased 12% in dollars but increased 1.8% in local currency. In South Korea, net sales increased 4.3% in dollars, and increased 11.4% in local currency as compared to the same quarter in 2022. Monster remains the market leader in Japan and South Korea. In China, net sales in the first quarter increased 68.3% in dollars and increased 81.7% in local currency as compared to the same quarter in 2022. We remain optimistic about the prospects for the Monster brand in China. In Oceania which includes Australia, New Zealand, Tahiti, French Polynesia, New Caledonia, Papua New Guinea and Guam. Net sales increased 46.9% in dollars and 53.8% in local currencies. In Latin America, including Mexico and the Caribbean, net sales in 2023 first quarter increased 30.8% in dollars and increased 40.4% in local currencies over the same period in 2022. Gross profit in this region as a percentage of net sales was 33% for the 2023 first quarter versus 35.4% in the 2022 first quarter. We note that gross profit in the region was adversely affected by a fire at a warehouse in Chile. We are implementing measures to improve gross profit in this region. The spots that challenges in Chile, and continuing challenges with importing raw materials in Argentina. In Brazil, net sales in 2023 first quarter increased by 28.5% in dollars, and 22.5% in local currency. Net sales in Mexico increased 31.9% in dollars, and 21.4% in local currency in 2023 first quarter. Net sales in Chile increased 36.3% in dollars and increased 36% in local currency in the 2023 first quarter, net sales in Argentina increased 13% in dollars, and increased 98.8% in local currency in the 2023 first quarter. We will now provide an update on our litigation with Vital Pharmaceuticals, which will be referred to as VPX, the maker of Bang energy drinks. We previously discussed the trademark infringement arbitration, in which an arbitrator found against VPX and awarded Monster Energy Company or MEC and Orange Bank, Inc., 175 million in damages, attorneys fees and costs and an ongoing 5% royalty on future sales of certain Bang energy product. VPX has appealed the judgment. Additionally, on September 29, 2022, a jury in the United States District Court for the Central District of California returned a verdict awarding MEC approximately 293 million in damages on its claims against VPX for false advertising, misappropriation of trade secrets and interference of Monster's contract over shelf space with certain key retailers. On April 12 2023, the district court granted MECs motion for permanent injunction which amongst other things and joins VPX and former CEO, Jack Owoc from falsely or deceptively claiming that Bang or any other beverages contain creatine or a form of creatine. The parties have completed briefing the remaining post-trial issues. On October 10, 2022, VPX along with certain of its domestic subsidiaries, and affiliates filed for protection under Chapter 11 of the bankruptcy code in the Southern District of Florida. While those proceedings are moving forward, the VPX is undertaken to make interim royalty payments subject to potential claw back in certain circumstances. On February 14, 2023, VPX made its first royalty payment in the amount of approximately 3.6 million. The company will not recognize either award or the royalty payments until such time as they're realized or realizable. As this litigation and bank bankruptcy proceedings are sub-judicate, we will not be answering further questions on those matters on today's call. In the first quarter, we initially launched the Beast Unleashed in six states through a network of beer distributors. We are pleased with the early results and are continuing to expand distribution into additional markets with the goal of being national by the end of the year. Net sales for Beast unleashed during the first quarter were 20.5 million. We recently relaunched Wild Bass and Hard Seltzer with new packaging and great new flavors and taste profiles. We are refreshing the Dale's Beer brand and we'll be introducing Dale's American Light Lager as part of the refresh. We are planning to launch a new flavored malt beverage line within the next few months. Our alcohol beverage innovation pipeline is robust. We look forward to sharing news of additional new product in the near future. We launched the number of new products in the United States in 2023 first quarter. In January 2023, Monster Energy zero sugar was launched at retail. Monster Energy zero sugar is available in 16-ounce cans and was specifically developed as an indistinguishable zero sugar analogue of our original unique Monster Energy green flavor. In February 2023, we launched a new flavor within our highly successful Monster Ultra line with Monster Energy Ultra Strawberry Dreams available in 16-ounce cans. In March 2023, we launched Reign Storm, which is positioned as a line of total wellness energy drinks in 12-ounce sleek cans to address a compelling opportunity in the energy drink category. Reign Storm is available in four flavors, Valencia Orange, Kiwi Blend, Peach Nectarine and Harvest Grape. Also in March, we launched Rehab Monster Wildberry Tea in 16-ounce cans. We are continuing to expand the distribution of Monster Tour Water in still and sparkling variants into additional states. We launched several new SKUs in the first quarter in 2023 in Canada. In February 2023, we launched Monster Ultra Peachy Keen, Punch Monster Ozzy Style Lemonade and Reign Rainbow Sherbet. In March 2023, we launched Monster zero sugar in Canada. There were several new SKUs in the 2023 first quarter in Latin America. In Brazil, we launched Monster Ultra Watermelon. Additionally, we revamped our previous Chaos product into the new Monster Juice Chaotic. In Mexico, Predator [indiscernible] at retail to further expand our affordable energy offerings. In Uruguay, we launched our second Ultra SKU with Monster Ultra Paradise. In Paraguay and Bolivia, we launched our first juice SKU with Monster Juice Manga Loca and additionally in Bolivia, we launched Fury Goldstrike. The first quarter of 2023 in Australia, we launched two Java Monster SKUs, Java Monster Mean Bean and Java Monster Loca Moca. In EMEA, in the first quarter of 2023, we launched Monster Reserve Watermelon, Ultra Gold, Ultra Rosa, Ultra Watermelon, Juicy Ozzy Lemonade and Juice Chaotic in a number of countries. During the 2023, first quarter we also launched additional SKUs of Burn, Predator and Reign in certain countries. In EMEA as part of an ongoing Pan EMEA launch, we expanded the distribution of our Monster Energy Lewis Hamilton 44 Zero Sugar Energy drink to an additional 22 EMEA markets in the first quarter of 2023, will be followed by another eight markets in the second quarter of 2023. During the first quarter of 2023, we launched Monster Ultra Paradise in China, Taiwan and Hong Kong. In April 2023, we launched Monster Reserve Watermelon in Japan, we are planning to introduce the Predator brand in additional countries in APAC in the course of 2023. We estimate that on a foreign currency adjusted basis, including the alcohol brand statement, April 2023, sales were approximately 9.9% higher than the comparable April 22 sales and 7.9% higher than April 2022, excluding the alcohol brand segment. We estimate April 2023 sales, including the alcohol brand segment, to be approximately 7.2% higher than in April 2022 and 5.1% higher than in April 2022, excluding the alcohol brands segment. April 2023 had one less selling day compared to April 2022. In this regard, we caution again, that sales over a short period are often disproportionately impacted by various factors such as for example, selling days, days of the week in which holidays for, timing of new product launches and the timing of price increases and promotions in retail stores, distributing centers, as well as shifts in the timing of production. In some instances, our bottlers are responsible for production and determine their own production shared goals. This affects the dates on which we invoice such bottlers. Furthermore, our bottling and distribution partners maintain inventory levels according to their own internal requirements, which they may alter from time to time for their own business reasons. We reiterate that sales over a short period such as a single month should not necessarily be imputed to or regarded as indicative of results for a full quarter, or any future period. In conclusion, I'd like to summarize some recent positive points. One, the energy category continues to grow globally. Two, we are pleased to report that our pricing actions, which have been implemented to partially mitigate inflationary pressures have not significantly impacted consumer demand. Three, we are seeing improvements in our gross profit margins on a quarterly sequential basis. Four, our AFF Flavor Facility in Ireland is now providing a large number of flavors to our EMEA region, enabling better service levels and lower land costs to our EMEA region. Five, we are enthusiastic for our 2023 new product innovations, notably Monster Energy Zero Sugar, Ultra Strawberry Dreams, Reign Storm and Pure Water in the United States and Monster Energy Lewis Hamilton 44 Zero Sugar in EMEA. We are pleased with the early results from the launch of the Beast Unleashed. We are continuing to expand distribution with the goal of being national by the end of the year. We are excited by the additional alcohol opportunities that the CANarchy acquisition presents. We are pleased with the initial results of our launch of Reign Storm, our new line of Total Wellness energy drinks. Eight, finally, we are pleased with the rollout of Predator and Fury, our affordable energy drink portfolio internationally. We are proceeding with plans to launch our affordable energy brands, and additional number of international countries. I would now like to open the floor to questions about the quarter. Thanks.
Operator: Ladies and gentlemen, we will now begin the question-and-answer session. [Operator Instructions]. Our first question today comes from Peter Grom from UBS. Please go ahead with your question.
Peter Grom: So maybe just two quick margin questions, if I may. So, one, I know you don't want to get into guidance, but you continue to comment on the sequential margin performance or improvement. So with pricing, coming in and cost moderating, should we expect to see sequential improvement in gross margin from here as we move through the year? And then, just somewhat related, as we look at selling expense as a percentage of sales today versus 2019? It's down quite a bit. So as we look ahead, is this high single digit rate that we've seen over the past couple of years sustainable? Or would you be looking to take that higher over time, particularly as gross margin begins to improve? Thanks.
Hilton Schlosberg: So addressing your first question on gross margin, as you know, we don't give guidance. But what we can say and what we have said in previous quarters, and where we've spoken about the price increases, we have [rolling] [ph] price increases in EMEA during the whole year. So that will escalate as the year goes through. In the U.S., we had a price increase, as you know, late last year, and we had a price increase on April 1 in larger sizes the 19.2, 18.4 and the 24 ounce can. So that's something that will be reflected continually as the year goes through. In addition, we took up some pricing later on in the year in LATAM and some in LATAM in 2023, as well. In Asia Pacific, we largely took up pricing in Q1 of this year. So they will be a benefit, I believe from pricing as we go through 2023. With regard to costs, that's something that we continue to evaluate. We know that, for example, aluminum has kind of stabilized which is positive for, I think, for us. And we've also had a situation where we've seen freight rates reducing, and we balanced freight in two sections in our P&L trade-in for materials and for finished goods as they move to distribution centers are regarded as part of cost of sales and freight-out is obviously regarded as an operating expense. So we are seeing some improvements. We mentioned, I think on previous calls, and in the script today, that there are some challenges in our cost of sales, including what we're seeing certain ingredients, and co-packing fees. So overall, I think, I could see a situation where we have the price -- we have the price benefits, they seem as if the -- they have been sensibly executed and that we haven't had major resistance from customers. So I think that gives you the background probably to make your own assessment. And then on your second question on selling expenses, we work towards a budget on selling expenses, which we believe are necessary to execute our play. And what those budgets are and where they end up is a factor that we very seriously consider in dealing with the needs of our consumer and the needs of the market. So, we don't really compare it to themselves and at the end of the quarter everybody else does. But we look at the needs of the marketing programs, and what we need to do to keep our brands exciting and in the eyes of the consumers.
Operator: Our next question comes from Filippo Falorni from Citi. Please go ahead with your question.
Filippo Falorni: You talked about the energy drink category remaining solid, can you talk about what you're expecting in the balance of the year for the category, are you seeing any signs of potential weakness at the low end of the consumer base, or you're seeing trends held up in the U.S. particularly? Thank you.
Hilton Schlosberg: So we don't give guidance, Rodney, you go ahead and respond to that.
Rodney Sacks: Go ahead.
Hilton Schlosberg: No, please. Now you go ahead, that's fine.
Rodney Sacks: We don't give guidance and the category has in line with other consumer products in a little bit of a slowing, I think there's been a lot of price increases across not only the energy category, but all beverage and consumer product. And so there has been a little bit of slowing, I think there's been a little bit of trimming of benefits under the snap programs that were increased during COVID. And those are sort of being pulled back a little bit generally now. So I think you would see a little bit of a sort of rationalization by buyers as they have slightly less disposable income. But again, I think that will settle down. We are overall though, if you look at the numbers, we gave you the Nielsen numbers, there is still healthy growth in the energy drink category as a category, it's continuing to grow and expand. But other than the direction you're seeing from Nielsen, we really can't, and won't give any further direction. But obviously, we think that certainly in dollar terms, the category will continue to grow. In actual volumes, they may be a little bit of a slowing. But I think that we will think that it'll be more than made above by dollar increases in pricing.
Operator: Our next question comes from Bonnie Herzog from Goldman Sachs. Please go ahead with your question.
Bonnie Herzog: I guess I wanted to ask a little bit about some of the innovation, just maybe a little more color on, Zero Sugar, the Beast, Reign Storm, and how they're performing and whether they're meeting your expectations in terms of buy-in from retailers and shelf space allocation. I guess I'm hearing you got a fair amount of incremental space. So just wanted to verify that with you. And then wanted to understand on Zero Sugar in particular, [Technical Difficulty] most of that during Q1 or you still expecting to kind of roll that out in certain market in Q2? Thank you.
Hilton Schlosberg: Okay. So if you look at Zero Sugar, we launched Zero Sugar, we rolled it out in Q1. So most markets by far the majority rolled out Zero Sugar in Q1. As regards Zero Sugar, we have actually been very pleased with the results. We had good expectations for the product and our expectations seem to have been realized. We're not seeing a big dip in green. So a lot of people have asked questions about cannibalization. But we're not seeing a big dip in green at all. I mean, green seems very much to be holding its own. So I think that as we look at shelf space, obviously we've negotiated very actively this year for additional shelf space. And we have achieved really commendable increases in shelf space. Not only in convenience, not only in the convenience independence, but across the various channels.
Rodney Sacks: The only thing I would add is, Bonnie, internationally, we do have plans to also roll up the Zero Sugar into a number of international markets but that it's not going to go everywhere at the same time we have other things on the agenda today need to roll out. So there'll be an orderly rollout of other innovation internationally, but in many markets including in EMEA, we will be rolling up to Zero Sugar as well.
Hilton Schlosberg: Yes. And we just launched in Canada as well. So really exciting times, I think for that particular product.
Rodney Sacks: Now with regard to the expectations, Bonnie's, Reign Storm really was launched right at the end of the first quarter. So it's just too early to tell. But obviously, we are optimistic about it. Again, and with regard to the Beast, we rolled it out slowly. And we are trying to do that in a cautious way. And we so far, the result, sales, some of the repeat sales have also been encouraging. And but again, it's early on, we have a lot of additional innovation in alcohol that we are looking at and planning. So we were quite excited, it just takes time. And we are rolling it out through this whole new distribution system, which we are continuing to build distributed by distributor, so it's taking time to get there. But as we said on the call, we hope to be national, by the end of the year, we hope to have additional product. So the whole system, I think is working, moving forward according to plan.
Operator: Our next question comes from Chris Carey from Wells Fargo Securities. Please go ahead with your question.
Chris Carey: Just one clarification or maybe if you can help the 18.6 and the 24 ounce? How meaningful are those as a percentage of your overall portfolio? Or is there just any way to frame the size of that price increase as a contribution to total business? And then, just a bigger picture one, that I feel a little bit, but I get questions pretty often just about succession planning and long-term succession planning on Monster and how strong is the bench, and how much of that bench building is going on behind closed doors. It just comes up enough that, I thought maybe this could be an interesting place to just maybe offer some perspective on just how you think about developing talent and developing talent for the long-term. So, thanks for the -- maybe a little bit of help on the scope of the pricing and just on talent development. Thanks.
Hilton Schlosberg: Chris, I would refer you to the Nielsen numbers. And you'll see that those larger sizes are less than 10%, probably in the 6% to 8% range. But if you look at Nielsen, you'll be able to get a good assessment of that percentage. Secondly, on succession, obviously, the Monster Board is, and Rodney and myself are really concerned about succession. And something that we are addressing, and we continue to address on an ongoing basis. We have a very, in our view, a deep strength in the bench of the team below us that are being developed and are growing and we are helping them develop. So I think from that perspective, it's something that ourselves, the board, are very well aware of. And we'll continue to address that issue. However, I don't think Rodney is going anywhere in the foreseeable future and frankly, neither am I. So we are here and will help develop and segue when the time is right, a new management team.
Operator: Our next question comes from Andrea Teixeira from JPMorgan. Please go ahead with your question.
Andrea Teixeira: I just have a clarification. So went back to Bonnie's question on how accretive Monster Zero has been against Ultra. In absolute terms in numbers in the U.S. it seems there has been a great launch based on the Nielsen data. But it obviously as you look at Ultra, it also has been coming at some deceleration which Obviously one would expect. Can you comment on who your first of all, how is it tracking against plan? And in terms of shelf productivity that you pointed out that you're gaining distribution and trying to make it obviously accretive? How is it number one tracking against plan. And number two, how you're seeing that, going above and beyond Ultra?
Hilton Schlosberg: Okay. So remember that we had a product called Absolutely Zero. And Zero Sugar is really the new variant of Absolutely Zero. So it's a product that was in the market that has been replaced by Zero Sugar. So when you compare the numbers for Zero Sugar, you can see that on an ACV basis, we moved from 42% from Absolutely Zero to 72%, for Zero Sugar. So the distribution of Zero Sugar is increasing, and it's climbing. It's not that it's a new product. We had, as I said, a product called Absolutely Zero. And so when we look at Zero Sugar, we look at our plans, we look at our plans for Ultra, we have been very satisfied so far, with the launch of Zero Sugar. You look at the ACV growth. And the sales per point and it's something that we really as -- and I said this earlier, we really are very excited with Zero Sugar.
Rodney Sacks: Just maybe I will just add on the Ultra side. We have had a really successful launch of Ultra Strawberry Dreams. I think that some of the ACV, if you look at your Nielsen's, you'll see some of the ACV or some of the additional flavors Ultra -- Ultra Heavy in fact decreased a little bit. I think that's something we just need to look at and attend, I think as you get go through this change and introducing of new flavor, sometimes -- some of these additional SKUs that are not the top three, or four or five, sometimes get a little bit lost in the wash. So that's where we've seen a little bit of a drop-off in some of those additional flavors. But I think there's -- we think that there are solid and sound products and I think, we just need -- just really make sure we focus on just reestablishing some of the distribution levels on those. And we think those sales will continue to increase. Sales of Ultra as a brand or sub-brand have gone up in the United States and internationally. But I think that we've had, as I said, some of those flanker sort of flavors are, we need to just put some focus behind which we are doing.
Operator: And our next question comes from Mark Astrachan from Stifel. Please go ahead with your question.
Mark Astrachan: Two housekeeping questions. One cash balance, it keeps growing. Any thoughts on how you'd like to implement spending some of it share repurchase? It was nice to see there were some interest income this quarter, I assume we shouldn't be thinking to that continues to grow. And then, on the alcohol brands gross margin, the implied number this quarter was a little better sequentially than 4Q, anything is there kind of beneath the surface that we should consider and trying to model that business because it's clearly a lot harder to see what's going on there. And then sort of the legacy business. Thanks.
Rodney Sacks: On the alcohol side, I think that what we did was -- we had quite a drop off in the seltzer business that which is part of the brands that we acquired, and that affected in operating business where they're running their own production that affected their overhead costs, because you've got some fixed costs. So as you noted in the earlier, last quarter of last year, we reported on the margins were really very [indiscernible] on the -- what we call the legacy business. Those margins are improving. We're busy sort of refitting the one line out to be able to increase the capacity for doing the Beast products. And as we go forward, we will start seeing an improvement in the margin in the legacy business. The margins on the Beast side are healthier, quite a lot better than on the legacy craft business side. And as again, those are probably smaller, lower now than they'll be as we start of getting some scale, we are doing some co-packing, we will be using our own facility and we will obviously be maximizing that. And as we go forward, we will start working on using additional co-pack as we will actually lower our costs. So we do think there will be additional margin going forward, but it is a thinner margin product, and we obviously are traditionally used to seeing on the Monster side. And maybe Hilton, you want to take the question on the cash side. Go ahead.
Hilton Schlosberg: Mark, we continually are examining options to deal with our cash balances, and it's something that, again, is a board issue that is receiving attention. So, I really don't want to comment, more than we have that -- intention is to hopefully buy back shares continue that program. But we are looking at -- some opportunities for further investments. And that's too premature to talk about them. But there are a number of possibilities that that we're looking at. And in addition, it is our plan to continue buying back our shares.
Endof Q&A:
Operator: And, at this time, we'll be concluding today's question-and-answer session. I'd like to turn the floor back over to Mr. Rodney Sacks for any closing remarks.
Rodney Sacks: Thank you, all for the company. I'd like to thank everyone for their continued interest. We continue to believe in the company and our growth strategy. And we remain committed to continuing to innovate, to develop and differentiate our brands and to expand the company both at home and abroad. And in particular, capitalizing on our relationship with the Coca-Cola Bottlers System. We believe that we are well positioned in the beverage industry and continue to be optimistic about the future of our company. We hope that you remain safe and healthy. And thank you for your attendance.
Operator: Ladies and gentlemen, the conference has now concluded. We thank you for attending today's presentation. You may now disconnect your lines.